Operator: Good morning. My name is Suzanne and I will be your conference operator today. At this time, I would like to welcome everyone to the Dundee Corporation Q2 2017 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Mr. John Vincic, you may begin your conference.
John Vincic: Thank you, operator. Good morning everyone and welcome to Dundee Corporation’s 2017 second quarter results conference call and webcast. The company’s financial results were issued last night and are available on our website at dundeecorporation.com. Before we get started, please be advised that the information discussed today is current as of June 30, 2017 unless otherwise indicated and that comments made on today’s call may contain forward-looking information. This information by its nature is subject to risks and uncertainties and as such actual results may differ materially from the views and expectations expressed today. For further information on these forward-looking statements, please consult the company’s relevant filings on SEDAR. Also, please be reminded that all currency amounts discussed on today’s call are in Canadian dollars unless otherwise stated. Our presenters today are David Goodman, Dundee’s Chief Executive Officer; Mark Goodman, President; and Lucie Presot, Executive Vice President and Chief Financial Officer. Joining them for the question-and-answer session following the conclusion of the formal remarks are Richard McIntyre, Executive Vice President and Chief Operating Officer; and Eric Klein, Executive Vice President, Business Development. And now, I would like to turn the call over to David Goodman. David?
David Goodman: Thank you John and good morning everyone and thanks for joining the call this morning. Similar to the previous quarter we saw a continued improvement in the results of our operating subsidiaries this quarter. However this was overshadowed somewhat by the market performance of our portfolio particularly under performance by Dundee precious metals. Nonetheless we remain optimistic and are encouraged by the trends we see in our investing companies. These businesses have required a combination of capital injection and management oversight and are now beginning to demonstrate stronger performance. As I've said in the past we remain committed to the task at hand and the ultimate goal of ensuring these businesses are self funding and cash flow positive. At the head office level cost containment and expense reduction have been priorities for some time. In both cases we're beginning to see positive trends emerging. As a result our corporate G&A is lower and we expect this trend to continue and steps are taken to reduce our real estate footprint in Toronto. In addition our interest payments are lower this quarter as we eliminated our outstanding bank debt with the proceeds from the sale of our stake in Dream Unlimited. In May of this year we announced a transaction between United Hydrocarbon International and Delonex Energy, an experienced and well funded operator in sub-Saharan countries in Africa. Since that announcement our team at United Hydrocarbons has made significant progress towards obtaining the necessary approvals required to close the transaction. We remain on track to close this transaction by year-end but, we are hopeful it will close sooner possibly during the third quarter. At Parq Casino construction is advancing and remain on track for opening in the fall. We're excited about this project and its potential to generate meaningful EBITDA for Dundee. Mark Goodman will discuss Parq in greater detail in a moment. And at Blue Goose we continue to see the benefits of advancing integration of the Tender Choice acquisition in spite of a rainy grilling season we see positive trends in the results and believe management is doing a good job of positioning this business for the longer term. Now I'd like to turn the call over to our President, Mark Goodman for a brief overview of some operational highlights for the quarter. Mark?
Mark Goodman: Thanks David. Let me begin by saying it’s a pleasure to participate in this call in what is my first quarter as President of Dundee Corporation. Our teams within the merchant Capital Group and Dundee Resources are dedicated and hardworking. Their energy, passion, and creativity have been instrumental in helping us navigate through this period of transition at Dundee and I would like to acknowledge their efforts. Now let me briefly discuss some of the highlights within the portfolio. As David mentioned Parq Casino is on track to open this fall and we're all very excited about this unique urban resort located in downtown Vancouver. We believe Parq is going to have a dramatic impact on the entertainment and hospitality landscape when it opens. The combination of gaming, dining, hotels and other amenities will make it one of a kind destination catering to local residents and the scores of tourists who visit Vancouver each year. During the quarter Dundee and PBC, one of our partners in the Parq project each invested an additional $5 million of capital. In addition the first lien lenders to the project provide an additional $27 million loan to the project. And finally in the fall we expect the lenders of the project to release the completion guarantee providing an additional $10 million of capital. In aggregate these actions will help ensure the project is fully funded to completion and help ensure the on-time opening for fall of this year and should also provide sufficient working capital for the start up phase of operations. At Blue Goose we continue to make strides towards further integration of the Tender Choice acquisition. As noted before Tender Choice provides us with added capacity and the ability to expand our conventional poultry business. During the second quarter Blue Goose commenced new sales of conventional organic chicken with a major national retailer further improving revenues and profitability. Now let me turn to Dundee Resources, our focus within this group is the ongoing rationalization of the resource portfolio now positioning our investments for future success. We're also involved in the active management of some of the companies within the portfolio. One of our top portfolio holdings brought in the past year has been our investment in an emerging gold company. Through a plan or arrangement our team was instrumental in facilitating a three-way merger to create what is now Osisko Mining. As part of this process our team transformed an investment with the combined $7 million into a much more liquid holding in a larger company valued at more than four times that amount currently. We were applying this level of creative thinking to other parts of the portfolio. Recently our group took its investment in True North Nickel and through an amalgamation agreement worked with partners to create a new entity called Orford Mining. This transaction is expected to close in the third quarter of this year and once completed Orford will be well positioned to continue gold exploration activities in Northern Quebec. This hands on approach to value creation is being applied across our portfolio of Dundee Resources and we look forward to helping feed more success stories. This concludes my review and now I would like to turn the call over to Lucie Presot for the financial review. Lucie.
Lucie Presot: Thanks very much Mark and good morning everyone. Consistent with the last quarter my comments are intended to provide you with a brief review of our company's operating performance as reflected in our financial statements. During the second quarter of 2017 we reported a loss of 25 million attributable to our shareholders or approximately $0.46 per share. The loss in the second quarter which stems primarily from adverse movements in some of our publicly traded portfolio investments reduced our year-to-date net earnings to 3.9 million attributable to shareholders or about a penny per share. A significant part of our portfolio includes investments that are mark-to-market with changes in their fair values being reported directly in our net earnings or loss. These changes which are largely driven by trends and information in equity and capital markets will continually cause substantial volatility in our operating results. In the current quarter, depreciation in the value of our portfolio holdings reduced our earnings by 24.8 million reducing appreciation in these investments that we earned earlier in the year to 32.6 million. In the current quarter about 60% of mark-to-market losses were from our investments in a 36.4 million shares of Dundee precious metals which depreciated by 15.3 million. If we compare this to the 2016 results, we experienced market appreciation in our portfolio of 52.2 million in the second quarter of that year and 103.3 million in the six months ended June 30, 2016. Very clearly and as David alluded to previously, without drilling down further these fluctuations can overshadow the operating results of our subsidiaries and the improving trends that we see emerging in their operating performance. At the end of June 2017, the value of our portfolio of holdings was 348.9 million of which 178 million was in publicly traded securities. Since January 1st of this year, we've generated proceeds of 125 million from our portfolio including 106 million from the sale of our entire position in Dream Unlimited which we announced earlier in the quarter. And the proceeds of which were used to fully repay amounts that we had borrowed under our current credit facility. Before we discuss the operating performance of our subsidiary and our cost at head office, let me briefly mention our investments that we account for using the equity method. At June 30th these investments had an aggregate carrying value of 158 million and during the second quarter we're reporting nominal earnings of $108,000. Up significant, our net equity earnings actually include 2.9 million of earnings from our investments in Paragon which is offset by further losses of 2.7 million incurred through our 40% interest in Union Group. Both Mark and David provided you with an update on the construction progress and the expectations regarding our investments in Paragon, which is the vehicle through which we hold our interest in the Parq Casino project. The existing Edgewater Casino that forms part of the Parq project generated revenues of 33.6 million during the first half of this year and the Parq project excelled including the development of the real estate, reported net income of about 11.2 million of which our share is 4.1 million. As we stated previously, Parq's results can be subject to significant fluctuations relating to foreign exchange movements as a project financing is denominated in U.S. dollars. During the first half of this year we recognized a loss from our investment community group of $8.1 million. Notwithstanding the progress of their investment in ICC Cannabis which was recently granted a license to sell recreational cannabis through the pharmacy channel in Uruguay, Union Group continues to experience losses in some of their other ventures including losses of $4.9 million U.S. incurred in the second quarter of this year of which our share is a 2.7 million reported previously. There were two items that drove the significant quarterly loss. The first was a mark-to-market loss on certain agricultural land held through Union's agriculture subsidiary. The second contributor to the loss is an impairment to certain of their infrastructure or power projects. Further development of these projects requires environmental impact studies, the cost of which is deemed uneconomical at this time and as a result these projects became dormant at least temporarily and were therefore essentially written off. On a year-to-date basis we're reporting equity losses of about $750,000 including losses from our core equity accounted investments of 1.9 million and that's offset by $1.2 million of equity earnings from our real estate division following the closing of yet another phase of our Edenor [ph] project in France during the first quarter of this year. As David previously commented we continue to be encouraged by the improved operating performance of our underlying operating subsidiary. As they did in the first quarter of this year each of these subsidiaries delivered stronger financial results in the first half of 2017 than they did in the first half of the prior year. Our operating subsidiaries incurred pretax losses of $13.2 million in the first half of 2017 compared with pretax losses of 82.7 million during the first half of 2016. There are a few things that perhaps should be highlighted and I would propose to address these in the same order as they are addressed in our MD&A. Our assets management subsidiaries including Goodman & Company and Dundee Securities, are reporting combined losses of 2.9 million during the first half of 2017 compared with losses of 8.6 million in the first half of last year. After the divestitures of the retail and capital markets businesses in 2016, we are seeing the effects of cost rationalization as we better focus on our business strategy. In terms of AUM, we close the second quarter with AUM up 199.6 million, an increase of 25.8 million over AUM of 173.8 million at December 31, of last year. Notwithstanding the demand made by a slender [ph] in July of this year our subsidiary Dundee Energy continues to generate positive cash flows and it reported a small loss of 805,000 in the first half of 2017. Last year Dundee Energy reported losses of 14.2 million in the same period including a 5 million impairment on certain gas properties. Improved operations are primarily driven by improved oil and gas prices. Dundee Energy continues to operate as a growing concern through their lender negotiations and they remain in cooperative discussions and expect that management will continue to oversee day-to-day operations subject to the lender conducting a formal sales process. As a reminder the lender to Dundee Energy has no recourse to Dundee Corporation in respective amounts forward under these arrangements. Should the sales process result in amounts below our carried value in Dundee Energy, Dundee Corporation is at risk of a potential loss primarily in respect of deferred tax assets related to its investment of about $20 million. Blue Goose is reporting revenues of 61 million in the first half of 2017 and net income of 1.8 million. In the first half of 2016, Blue Goose generated revenues of 32.5 million and it reported a loss of 11.2 million. Included in current year earnings, it's a 4.2 million non-operating gain resulting from the revaluation of an earn-out obligation relating to the Tender Choice acquisition. Finally our real estate division is reporting a small profit and it continues to see revenue and operating margin growth both in its brokerage division operating under the subsidiaries trade name as well as in real estate project development contracts. At the head office or corporate level, G&A costs decreased to 8.5 million compared with 12.5 million in the first half of 2016. Results in 2017 include a 2.2 million difference resulting from a reversal of an accrual for discretionary incentive compensation. When we adjust for this difference, our EBITDA at the head office level was a negative 4.9 million in the second quarter and a negative 9 million year-to-date. We continued to see our corporate cash run rate at least in the short-term at approximately $20 million per year. However, with the repayment of our debts with the proceeds from the sale of our Dream share we anticipate that our interest in dividend cash requirements will be just over 13 million per year and less than the 15 million guidance that we provided earlier. Liquidity remains a strategic priority so let me walk you through the change in our cash resources during the second quarter of 2017. So we started the quarter with GAAP net of cash resources of $59 million. Our cash operating cost during the quarter including tax payments were $7 million and we paid another 2 million in dividends. We advanced 11 million to our subsidiaries including 4 million to our investments in United Hydrocarbon and we carried $6 million of costs in our asset management and securities businesses. Cash from sales of investments net of any reinvestment was 118 million in the quarter including the 106 million from the sale of Dream. We also received a further 7 million of dividends from Dundee Securities. That leaves us with cash resources at the end of June of approximately 46 million at head office and no debt other than our existing Series 5 preferred shares. This concludes our second quarter financial review and I will now turn the call back to David Goodman. David.
A - David Goodman: Thank you, Lucie. As we said before we continue managing through a period of transition. This has been a long road and we faced many challenges. In spite of this we have maintained our focus and persevered. Key priorities for our business include cost containment and expense reduction. There we are on the verge of significantly reducing our real estate footprints in Toronto which we expect will have a positive effect on G&A going forward. And with the elimination of our bank debt this quarter we have lowered our corporate interest expense. Opening Parq Casino on time, we are literally weeks away from opening the doors of this new facility and are excited about its potential EBITDA generation. Closing the UHIC transaction with Delonex. Significant progress towards closing has been majoring the quarter and we now anticipate this transaction can close by the end of the third quarter. Securing a capable partner and maintaining an economic interest in these world class assets while receiving an upfront payment and eliminating our monthly obligations is a very positive outcome for United and its shareholders including Dundee. And finally we continue to be focused on stabilizing our overall financial position. It is imperative that we strengthen our balance sheet and work towards improving liquidity on a more permanent basis. This is critical in order to stabilize our business and positions us to support future growth opportunities. With that let me close by once again thanking our shareholders for their continued support. Operator, we would be happy to take questions.
Operator: [Operator Instructions]. Our first question comes from the line of Brett Reiss of Janney. Your line is open.
Brett Reiss: Good morning gentlemen and Lucie.
Lucie Presot: Good morning Brett.
Brett Reiss: A good show on the progress. First question is on Parq. After it's up and running and the refinancing is put in place are we looking at a debt level of give or take 400 million, do you think you can refinance it let's say an 8% coupon so that the free cash flow is let's say 80 million, less 30 million to 35 million and then we get 40% of that. So at the end of the day Dundee will have 17 million to 20 million cash generation from Parq, if all goes well am I looking at it kind of the right way?
David Goodman: I think generally speaking that's an appropriate way to analyze it but I think it's -- we're still a little too early to say how the refinancing will take place and when the refinancing will take place. We're now solely focused on getting it up and running and at that point we're going to have to see what the operations look like and what the results look like. I think there will be several opportunities during the operating phase of this to consider what type of refinancing we want to explore, either straight refinancing where we provide a new debt facility. And I'm not sure 8% is the right number there Brett. Frankly I don't know what the right number is but I do know that we were able to borrow before we had started construction $265 million U.S. at 8% at that point in time and so I would think when you have an operating facility with generating cash flow it's my hope that the interest rate would be lower than that. But we'd have to see what the market bears. There also remains the opportunity and how we structure the investment in terms of we would have a parking facility and we have hotels and we have food and beverage and we have a Casino, not all of those assets generate the same type of multiples or borrowing capacity in the marketplace. The hotel market in Vancouver is quite tight and the cap rates on hotels are very low. And so I want to maintain our flexibility on how we ultimately de-lever this project in the future, stabilize our investment and the cash flows that we would receive from it. So all of that will be balanced out as its operating and we figure out with the long term of the project.
Brett Reiss: I listen to your answers, the timetable on the refinancing something that'll happen within a year, 18 months?
Mark Goodman: We have to see what the opportunities are that present themselves. If we're presented with an opportunity to refinance earlier and it takes some risk off the table on our project we would certainly look at that. But, that has to be balanced against the cost of it. And so if we're presented with a really good opportunity earlier we would go earlier otherwise we would wait.
Brett Reiss: Right, okay. Just one or two on United Hydrocarbons, if the deal closes in the third quarter, we're going to get 35 million from Delonex less the 9.5 million you have to keep in escrow?
Mark Goodman: That money will go into United of which we are I think an 85% shareholder. So the money will belong and will be in United and will be used to, there will be certain deductions associated with employment cost, bonuses, and payables that the company has. But yes, that payment is expected to be made on closing.
Brett Reiss: Right, right, now if there are an awful lot of moving parts on how to value United Hydrocarbons but if I am talking to you three years from now, that $189 million carrying value when you take into account the possible 20 million that comes in from Doba when oil starts flowing and the 30 million from Block H and the royalties, do you think that, that 189 is going to be a low valuation about right or maybe it's overstated?
Mark Goodman: Well, let me answer it in a different way because I think you're really just trying to figure out what is United worth to us as long term shareholders. And we think it could be very valuable. It's very difficult to say what it is worth. We have a deal that's on the table, there's $35 million U.S. upfront of cash, there's another $50 million of contingent payment so you have 85 million and then you have the value of the royalty. In the event that we see reasonable oil prices which is probably the biggest risk, we could see -- if oil prices start going in the $50 or $70 range or even higher, obviously this could be a very, very significant royalty for the company. If not then they don't. So the key for us in terms of getting value out of this investment was in finding a partner that sees the upside and is prepared to invest so that the ongoing investment of Dundee Corporation into United can end. And the possibility of significant upside is preserved in the future. We believe that we are at a low point in the cycle. We believe that it will rebound in terms of the price of oil, and we believe that these assets are world class and will produce significant cash flow for us in the future. But these are risky times and there can be no guarantee of that. But in terms of our investment here we think this was the best way to preserve and potentially enhance the value of our investment in the future.
Brett Reiss: I'm going to -- I have other questions but I'm going to circle back in queue because I'm sure there are other people on the call.
Mark Goodman: Thank you, Brett.
Operator: And your next question comes from the line of Mark Kearns of GMP Securities. Your line is open.
Mark Kearns: Good morning.
David Goodman: Good morning Mark.
Mark Kearns: David or Mark hoping you could talk a little bit about -- a little bit more about Blue Goose. It certainly seems like things are progressing there nicely, just your outlook and what's driving some of the improvements in the quarter and also anything on the -- how the end acquisition of Tender Choices is integrating there?
David Goodman: The management team seems to be doing a good job of integrating the Tender Choice acquisition. Some of the numbers at Tender Choice I think was a little bit lower frankly than we were expecting. And some of that will make it less likely that the contingent earn out payments will have to be made in the future. And that probably is a good structuring of the transaction on the front end because we don't have to pay for things that we don't receive. But it does provide to Blue Goose an ongoing cash flow and that's what we were looking for with Tender Choice was to create a cash flowing entity as opposed to just an asset value entity. We like some of the things we're seeing and that management has created new product lines that seem to be endorsed by some of our distributors. They are actively engaged in seeking a security of supply so that they can meet the ongoing demand for their products in terms of applying for a quota or finding security of supply outside the province all of which seem to be working generally well. And so we're pleased so far and hopefully there's more to come.
Mark Kearns: Okay, thanks for that. And then my second question would just be general liquidity and capital requirements. As you look out for the rest of the year, what are you thinking in terms of any capital needs from subsidiaries?
David Goodman: As you know we've been very disciplined in restricting the amount of capital that our subsidiaries ask for. And we've been lowering that amount and we continue to lower that amount. That being said we want to support our subsidiaries so that they can maximize value. We don't want them to starve, we want them to have enough capital to grow the business and achieve value. We are pretty comfortable with our liquidity position right now. We think that will United require a little bit more money to be foreclosing if possible depending on when the closing is. But we don't see it as being significant. We think that the Parq Casino is in pretty good shape and we're going to get it opened and probably up and running so that we can see what's involved there. Is there a risk that it could require more capital in the New Year, there is but, we don't think it's a material amount. And that is basically -- those would be the larger items. So I think we are moving in the direction that I like which is we don't want more capital come and going out of the company than we have coming into the company. And that is our primary goal right now is to generate cash flow out of our -- out of the businesses we own as opposed to continuously investing in the businesses we own without getting money back. And I anticipate that we're moving in that right direction and that is going to be something we look forward to in the near future.
Mark Kearns: Okay, thanks. I'll let others come in and re-queue. Thanks.
David Goodman: Thank you.
Operator: And your next question comes from the line of Jayme Wiggins of Intrepid Capital. Your line is open.
Jayme Wiggins: Good morning. On United Hydrocarbon you've made good progress on the discussions with the government of Chad. I was hoping you could clarify some of the language in the financial statements, from what I saw the government renewed the production sharing contract and approved the deal but, the government hasn't yet approved an extension of the exploration period. So does that mean the exploration rights weren't part of the PSC?
Mark Goodman: I think the way it works Jayme is the license is granted, it's a five year exploration license, and then you get a three year renewal which we receive. So right now our renewal extends out till 2020. As part of the deal and I believe Delonex would like that extended out to 2022 because they are intending on spending $65 million and so they want that extension formalized. To get that extension formalized would likely delay closing because you need certain government approvals that are parliamentary in nature. And so we are working to finalize this transaction and satisfy the conditions for Delonex so that we can expedite the closing. I think that would be the only remaining condition precedent to the deal and we're working hard to have that resolved as soon as possible.
Jayme Wiggins: Okay and on the royalty breakpoint, is it a straight drop to zero under breadth prices of $45 a barrel or does it step down gradually, so do you go from 10% to 0% as you go from $45 to $44.99?
Mark Goodman: No, at 45 or less the royalty is not paid.
Jayme Wiggins: So it drops off completely it's no step down?
Mark Goodman: It’s not a step down. It is above 45 you get it and below 45 you don’t.
Jayme Wiggins: Okay. Alright and then one more question on the real estate brokerage, are you seeing any revenue synergies yet from Sotheby's in terms of bringing customers over to the wealth management platform?
David Goodman: At this stage we are not and there's a variety of reasons for that one of which is our platform has not been built out to the extent that we can do that. And we were hoping to close a transaction that would have allowed us to utilize the benefits of owning both the wealth manager and Sotheby's. Unfortunately that transaction we weren’t able to come to terms to get that completed. So the short answer is no.
Jayme Wiggins: Okay, that's it for me. Thank you.
David Goodman: Thank you.
Operator: And your next question comes from the line of Louis Hernandez of Prosper Partners [ph]. Your line is open.
Unidentified Analyst : Yes, hello, good morning guys.
Lucie Presot: Good morning.
Unidentified Analyst : Alright, my first question David, you mentioned the royalties from United could potentially be significant at around sorry 60 sorry $60 to $70 a barrel, could you put a range number on it so we can have an idea what you mean by significant?
David Goodman: At this stage I don't think I can. I mean the factors at play are varied. So you have to -- the price of oil is a very significant factor. Also how many barrels are we going to be able to produce and at what stage do they get produced. We believe that the Doba Basin represents the best opportunity for early production and Block H is probably several years after that. So it might be two years before we received any benefit from the royalty. And then the question is how many barrels a day are we going to produce. And then at what price of oil and if you wanted to then figure out what that's worth today, you then have to decide what discount rate you would use and what probabilities you would use. So, to get those things to happen so it's quite a complicated equation. I would anticipate that after we get the deal closed we'll have an opportunity to sort of work with these types of assumptions and maybe provide a little more clarity at that point so we can figure out what they are worth. But our focus right now is let's get the deal closed. And then I mean your estimates of what the royalties are can be generated using different oil production scenarios of 10,000, 20,000, 30,000 barrels a day or more. And the price of oil and then we can factor the royalty payments from that. But at this stage we are not ready to provide that type of guidance.
Unidentified Analyst : Alright, so it would basically be a 10% on the revenue, right, on whatever amount of barrels were produced and sold and the royalty would be a gross 10%?
David Goodman: Actually it is more complicated than that. So I'm going to ask Lucie to describe it.
Lucie Presot: If you can think about it in a simplistic way and again without giving actual guidance yet, it's not on the top line revenue, it's more of a cash flow royalty.
Unidentified Analyst : Okay, so right, so it's net of expenses and cost of production?
Lucie Presot: To some extent but don't forget that these arrangements are never simple. There is a cost to oil return, etc. So again we are as David alluded to, once we get the deal closed we will be able to give a little bit more guidance on how all of this will work. But I don't want you to walk away thinking that this is a royalty on the top line revenue number, it's more of a cash flow royalty.
Unidentified Analyst : Okay, alright, I got it. But yeah I mean, I just wanted to have some kind of feel on the number. But I mean there is a whole bunch of variables but I mean maybe you can just show specific scenarios that makes sense whatever amount in order for us to have some idea of the number?
David Goodman: Yeah, and when we are ready we will do that but that will only happen after we close our transaction.
Unidentified Analyst : Alright, okay. My second question is regarding overhead, Lucie mentioned the run rate for year right now is around 20 million on the corporate overhead, I was just wondering it seems like a big number to me. So I wanted to figure out first, why is that number that high and second, I know it's been going down over the years but where do you see it dropping to, do you think it's going to stay there, you guys think it's going to grow up to half or something, just wanted to know -- understand that a little better?
David Goodman: Well, I don't think we can get it to half. But that doesn't mean we aren’t going to try to reduce it as best we can. Reducing the leasehold expenses probably our most significant factor in the near-term as we look to consolidate our real estate footprint and lower that expense. It is for a company of this size there's a certain amount of SG&A that is required. We don't think it's 20, we think it’s probably 15 or less. Maybe a little bit less than that but it's going to be higher than 10.
Unidentified Analyst : Alright and are there any businesses, operating businesses that are part of that overhead, maybe 360 or securities, I mean are they -- are people that are part of this overhead part of those businesses or how does that work?
David Goodman: Yeah, what we're trying to do is make sure one of our strategies is the operating subsidiaries will have the cost of operations inside them so that Dundee will be a manager of a portfolio as opposed to the operator. And the operating cost will be pushed down and into the operating subsidiary as much as possible.
Unidentified Analyst : Right, so once that happens what do you think is the overhead leftover for the manager holding company, Dundee Corp. etc?
David Goodman: Yeah, so as I said we think the number is going to be more than 10 and likely less than 15.
Unidentified Analyst : Alright, so it is still going to be part of, I mean that number is still the manager itself not the operating businesses?
David Goodman: Yes.
Unidentified Analyst : Okay, and one quick question regarding Blue Goose. I know and I believe it has some land assets. What’s the vision towards that, do you guys ever consider selling the land assets and focusing on more a production and commercial or do you guys like this land assets, I just wanted to have your view on land that’s it on Blue Goose?
David Goodman: Well our land is appreciated nicely in value so we've been very happy with the investment. And it's used primarily to graze the cattle up and house the cattle operations in DC. We've had appraisal done of it which value at approximately $100 million. In the future, I mean we're looking actively at all of our businesses to evaluate what they're worth and what our best strategic opportunity is in accessing liquidity and maximizing the value of the underlying investments. So we would absolutely look at anything in that regard.
Unidentified Analyst : Alright, great. And one of my final question is more on Dundee’s share price and potential share repurchases at least from a theoretical point of view?
David Goodman: Theoretically anything can happen but we're managing a business, we're not managing a share price. And our fundamental goals in the business have been described as lowering our operating costs, increasing our liquidity, strengthening our balance sheet, and having more money coming into the company than going out of the company. I think we've made significant strides on all those fronts. But there's -- we have uses for our capital right now and I think we've outlined them. We think obviously our stock price, we're not happy with. It's low. But that’s up to the marketplace to deal with.
Unidentified Analyst : Alright, I mean I just meant if you could repurchase shares how attractive do you think that would be?
David Goodman: It would be very attractive.
Unidentified Analyst : Alright, okay, thank you.
Operator: [Operator Instructions]. Your next question comes from the line of Brett Reiss of Janney. Your line is open.
Brett Reiss: Thanks for letting me circle back. What was the amount of the bank debt that was paid off, is the 80 million facility still in place but just undrawn and did you explore whether they use the proceeds from Dream to reduce the amounts on either of the three preference preferred versus a paying off the bank debt?
Mark Goodman: Well I don't think it would be appropriate to use the bank debt to pay off the preferred. Whether its technically possible or not I didn't really even explore. I think that we sold the shares and we paid off the debt. We still technically have up to an $80 million facility that is available as a tool in our arsenal to address liquidity. But the amount that we can borrow under that fluctuates with the value of our underlying assets. And as you know that at some times be quite volatile. So I think, does that answer your question Brett?
Brett Reiss: Yes and what was the amount of the bank debt that was paid off?
Lucie Presot: It was 60 million Brett.
Brett Reiss: Okay. So 125 million came in from the 106 from Dream and the 19 from other sales, where did the balance of the money go?
Lucie Presot: We have money left in our cash resources.
Brett Reiss: Okay.
Lucie Presot: Right, so we had this -- we have $46 million sitting in cash.
Brett Reiss: Okay. The ICC Cannabis investment which has turned out fabulously, we basically own 40% of the 34 million market value of that investment?
Mark Goodman: I don’t think the math works out that way. Union Group owns 35% of ICC and we own 40% of Union Group.
Brett Reiss: Okay. One final one, the Dundee 360 really knocked the ball out of the Parq in terms of real estate sales in the second quarter versus the first quarter and yet it's still kind of marginally profitable, why aren't the returns better in that business?
Richard McIntyre: Hi there, it's Richard speaking. Obviously we are working through a lot legacy assets there as well. So we're just trying to kind of harvest those. And that's been our big focus I guess for the last 12 months. So we haven’t got any active projects really that is going to be producing significant returns but we’re just harvesting the ones that we've had before. Again capital was and still is an issue in terms of going through various developments.
Brett Reiss: Alright, thank you for taking my additional questions and continue the good work.
David Goodman: Thank you Brett.
Operator: And that concludes today’s question-and-answer session. At this time I'd like to turn the call back over to the presentation team for their closing remarks.
David Goodman: Well thank you again everyone for joining the call. We look forward to updating you again in November when we report our third quarter results. Have a good day.
Operator: Thank you very much everyone. This concludes today's conference call. You may now disconnect.